Operator: Greetings, and welcome to REV Group, Inc.'s Third Quarter Fiscal 2025 Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to turn the conference over to your host, Mr. Drew Konop. Thank you. You may begin.
Drew Konop: Good morning, and thanks for joining us. Earlier today, we issued our third quarter fiscal 2025 results. A copy of the release is available on our website at investors.revgroup.com. Today's call is being webcast and a slide including reconciliations of non-GAAP to GAAP financial measures is available on the Investors section of our website. Please refer now to slide two of that presentation. Our remarks and answers will include forward-looking statements, which are subject to risks that could cause actual results to differ from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we described in our Form 8-Ks filed with the SEC earlier today and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All references on this call to a quarter or year are to our fiscal quarter or fiscal year unless otherwise stated. Joining me on the call today is our President and CEO, Mark Skonieczny, as well as our CFO, Amy Campbell. Please turn to slide three, and I'll turn the call over to Mark.
Mark Skonieczny: Thank you, Drew, and good morning to everyone joining us on today's call. Today, I'll provide an overview of the operating, commercial, and financial highlights achieved within the quarter, then move to the quarter's consolidated financial performance. As we close the third quarter, I want to take a moment to recognize the continued momentum we've built across the organization, which reflects over three years of hard work and transformation by our team since emerging from the unique challenges of the post-pandemic environment that took hold in late 2021 and carried through much of our fiscal year 2022. The operational discipline, strategic investments, and focus on execution have driven meaningful improvements across our businesses. The results this quarter further validate the actions we've taken. We've seen sustained gains in manufacturing throughput, quality, and efficiency that are outcomes of enterprise-wide efforts in lean manufacturing, workforce training, and process innovation executed by the local teams. These improvements haven't happened overnight; they were the result of consistent focused work across multiple quarters to streamline operations, increase scalability, and improve cost discipline. Today, our fire and ambulance businesses are laser-focused on driving productivity and efficiency gains, which is reflected in our top-line results, bottom-line earnings, and strong cash conversion. I am pleased to report another quarter of throughput improvement with fire unit shipments increasing 11% and ambulance unit shipments increasing 7% versus 2024. The progress we've made since 2022 is a testament to the resilience of our operations and the capability of our teams. We've not only improved cycle times and delivery performance, but we've also positioned ourselves to respond more quickly to variability in product mix while maintaining a relentless focus on quality and customer satisfaction. With a strong foundation in place, we're confident in our ability to build on this success, scale efficiently, and continue to invest in our businesses to drive continued growth across our portfolio. Recently, we took a major step forward in our commitment to U.S. manufacturing growth and operational resilience with the groundbreaking of a major facility expansion at Spartan Emergency Response in Brandon, South Dakota. This approximately $20 million investment, which we previously announced during our second quarter earnings call, is expected to expand the facility's fire apparatus production capacity by 40% upon completion, allowing us to further meet demand for both our fully custom and semi-custom fire apparatus. These enhancements will provide opportunities to reduce delivery times and improve throughput, particularly for departments looking for high-performance solutions within a one-year delivery window. The expansion will add 56,000 square feet to our existing campus, nearly doubling the location's manufacturing footprint, and enhancing critical capabilities in painting and fabrication. Importantly, it will also bring meaningful economic benefits to the Brandon and Sioux Falls communities, including 50 new jobs and increased local tax contributions. We're honored by the strong support from South Dakota leaders, including Senate Majority Leader John Thune, Senator Mike Rounds, Congressman Dusty Johnson, and Governor Larry Roden, and we are proud to continue our mission of supporting first responders with best-in-class emergency vehicles. This project underscores our deep commitment to the first responders who rely on our products in life-critical moments. Across our brands, we recognize the urgency and importance of getting high-quality vehicles into the hands of those who protect our communities every day. To that end, we're deploying additional capital investments in our facilities with targeted programs across both our fire and ambulance groups. These investments will enhance our workforce's ability to accelerate production timelines, drive continued improvements in quality, and help ensure that we are well-positioned to support customers with dependable, mission-ready vehicles when they need them most. Our teams are aligned around this vision and remain focused on making smart, strategic investments that elevate our capabilities, strengthen customer partnerships, and drive continuous improvement in how we deliver value to our nation's first responders and the communities they serve. Moving to other updates, during the third quarter, we completed the sale of our Lance Camper business. I want to sincerely thank the Lance Camper team for their hard work, commitment, and contribution to the company. To the employees, we wish you continued success and the very best in this next chapter for Lance Camper. Following the strategic divestiture of our non-motorized business, our RV portfolio has been streamlined and is now fully focused on our Indiana-based motorized RVs in the Class A, Class B, and Class C product categories. Each brand continues to set industry standards for quality, performance, and customer satisfaction within its respective class. Collectively, they serve a diverse and growing customer base with a comprehensive range of premium motorhomes, from the nimble Midwest Class B vans to luxurious Fleetwood American Coach and Holiday Rambler Class A coaches, and the stylish and rugged Renegade Class C coaches, ensuring broad market reach and sustained demand. What truly distinguishes this portfolio is not only the technical and innovation found in each product line, but also the operational resilience and forward-thinking culture that drive continued growth. With strong dealer networks, cutting-edge design, and an unwavering commitment to the RV lifestyle, this remaining portfolio focused on motorized end markets is well-positioned for continued success and value creation in the years ahead.
Drew Konop: Next, we delivered strong year-to-date cash flow, further strengthening an already solid balance sheet and enhancing the company's financial flexibility. This financial strength gives us the flexibility to continue investing in our business while advancing our strategic agenda aimed at creating lasting value for all of our stakeholders. Our priorities are focused on reinvesting in our businesses to drive long-term growth, pursuing opportunistic share repurchases, and maintaining a sustainable and growing dividend while selectively evaluating M&A opportunities that align with the company's strategic objectives. We believe a strong financial profile positions the company well to meet demand and create additional value for customers and shareholders while remaining resilient through dynamic market conditions. Finally, today, we are raising our fiscal 2025 outlook to reflect the strong year-to-date performance as well as our expectation that we effectively manage the impact of tariffs throughout the remainder of the year. Amy will provide details on these points shortly. Turning to slide four, I'll provide our consolidated third-quarter financial results.
Mark Skonieczny: Consolidated net sales in 2025 were $644.9 million compared to $579.4 million in the third quarter of 2024. Net sales for the third quarter of 2024 included $44.2 million attributable to the ENC transit bus that was exited within fiscal 2024. Excluding this impact, net sales increased $109.7 million or 20.5% compared to the prior year quarter. The increase, excluding the impact of the bus business, was primarily due to higher net sales in both the specialty vehicle segment and the recreational vehicle segment. We are pleased that the third quarter's performance continued to demonstrate top-line momentum. Consolidated adjusted EBITDA was $64.1 million compared to $45.2 million in the third quarter of 2024. Excluding the $6.6 million impact of the ENC bus business in the prior year quarter, adjusted EBITDA increased $25.5 million or 66.1% year over year, driven by the commercial and operational performance in the specialty vehicle segment. The recreational vehicle segment has continued to execute well against the backdrop of soft industry demand and tariff impact related to the import of luxury vans from Europe. Please turn to slide five, and I will now turn it over to Amy for the detailed segment financials.
Amy Campbell: Thank you, Mark. Third-quarter Specialty Vehicles segment sales were $483.3 million, an increase of $51.2 million or 11.8% compared to the prior year. The prior year's quarter included $44.2 million of net sales attributable to the municipal transit bus business that was divested within fiscal 2024. Excluding the impact of the divested business, segment net sales increased $95.4 million or 24.6% when compared to last year. The increase in revenue was primarily driven by higher unit production and a favorable mix of both fire apparatus and ambulance units along with price realization. As Mark mentioned, deliveries in the fire and ambulance group increased 11% and 7%, respectively, versus the prior year. This underscores our operational resilience and the progress we have made increasing throughput as we respond to the recent period of elevated demand. Specialty Vehicles third-quarter adjusted EBITDA of $64.6 million increased by $20.3 million versus last year. The prior year's quarter included $6.6 million of adjusted EBITDA attributable to the divested Transit bus business. Excluding the prior year contribution from Bus, Specialty Vehicles adjusted EBITDA increased $26.9 million or 71.4% versus the prior year with adjusted EBITDA margins of 13.4%, up 370 basis points from pro forma 2024. The increase was primarily the result of increased unit sales, favorable unit mix, and price realization partially offset by inflationary pressures. Given the inventory levels we had on hand at the start of the quarter, along with the efforts of our supply chain team, we were able to mitigate a portion of the expected inflationary impacts related to tariffs within the third quarter, which resulted in delivering a 28% incremental margin year over year as compared to our prior guidance of 20% to 25% incremental margin for 2025. Specialty Vehicles segment backlog exiting the quarter was $4.3 billion. The increase versus last year was related to the continued demand for fire apparatus and ambulance units as well as pricing actions, partially offset by the benefit of the increased throughput mentioned earlier. Volume growth in the Specialty Vehicles segment continues to expand at a healthy rate year over year, and we are making steady progress increasing production with the goal to both reduce the duration of the backlog and shorten delivery times. Exiting the quarter, the number of units within the backlog in the combined fire and ambulance groups decreased approximately 4% sequentially and 6% year over year, reducing the expected average delivery time for each division by nearly two months based on third quarter's throughput. We are pleased with the steady progress made throughout the year and the hard work and dedication of our teams that have delivered these gains in throughput and that position the segment well for continued momentum. The top-line outlook for the Specialty Vehicle segment is for low single-digit sequential revenue growth in the fourth quarter. Year over year, this is expected to result in mid-teens revenue growth in the quarter versus last year's pro forma base. While the supply chain team's efforts combined with inventory on hand mitigated the impact of tariffs in the third quarter, we still expect $5 million to $7 million of tariff-related headwinds to be realized within the fourth quarter, resulting in year-over-year revenue gains expected to convert at a 20% to 25% incremental margin in the fourth quarter. Turning to Slide six, Recreational Vehicle segment sales of $161.7 million increased $14.3 million or 9.7% versus last year's third quarter. Higher sales were primarily the result of increased unit shipments in the Class A and Class C categories and pricing actions related to increased cost, partially offset by fewer shipments and increased dealer assistance on Class B van models. Industry demand remains challenging with macroeconomic uncertainty weighing on retail demand and dealers continuing to reduce inventory through destocking actions across most categories over the past twelve months. Recreational Vehicle segment adjusted EBITDA of $8.1 million decreased $1.3 million or 13.8% versus the prior year. The decrease was primarily due to increased dealer assistance on Class B van models, the impact of tariffs on imported luxury vans, and inflationary pressures, partially offset by higher shipments of motorized units, pricing actions, and activity taken to better align fixed and variable costs with end-market demand. Despite a challenging end market and tariff headwinds that are outside of its control, the segment continues to execute well. Segment backlog of $224 million declined 7% versus the prior year. The decrease is primarily related to soft end-market demand and dealer caution to replace retail sales with new orders. We believe the current backlog supports the outlook for the fourth quarter performance to be approximately flat with third quarter's results, resulting in full-year recreational vehicle segment guidance remaining unchanged from the prior quarter with revenue expected to be in the range of $625 million to $650 million and adjusted EBITDA in the range of $30 million to $35 million. The outlook for the Recreational Vehicles segment also reflects the continued impact of previously discussed tariffs on imported Class B luxury vans, which are expected to be limited in duration. We are looking forward to showcasing the quality and innovation of our model year 2026 units at the Hershey RV Show and Elkhart Open House in September. These fall shows provide insight into customer and dealer sentiment, and the interactions and feedback are expected to provide an early read on calendar year 2026 demand. After these shows, the next big indication of activity will be at the Tampa RV show in January, which historically sets the pace for the year's retail demand. Through this period, we will continue to work closely with our dealers to focus on production of units that align with consumer preferences and maintain a cost structure that is appropriately calibrated to the industry's variable demand patterns that have been impacted by economic uncertainty. Turning to slide seven, Trade working capital on July 31, 2025, was $191.6 million, a decrease of $56.6 million compared to the $248.2 million at the end of 2024. The decrease was primarily related to lower inventory balances, increased customer advances, and the timing of accounts payable, partially offset by the timing of accounts receivable. Cash from operating activities within the quarter was $60.3 million and was $164.7 million year to date. Capital expenditures within the quarter were $11.6 million, including investments in machinery to improve efficiency and quality. Net debt as of July 31 was $54 million, including $36 million of cash on hand. In the quarter, we also paid cash dividends totaling $3 million. Year to date, cash returned to shareholders through share repurchases and regular cash dividends is $117.6 million. In addition, we declared a quarterly cash dividend of $0.06 per share payable on October 10 to shareholders of record on September 26. At quarter's end, the company maintained ample liquidity for our strategic initiatives with approximately $247.2 million available under our ABL revolving credit facility. Turning to slide eight, As previously mentioned, today we are updating our full-year fiscal 2025 guidance. Given the increase in throughput and net sales realized by the Specialty Vehicles segment through the first three quarters, we now expect full-year revenue growth in the Specialty Vehicles segment to be in the mid-teens versus a 2024 pro forma revenue base of $1.56 billion, which excludes sales from the divested bus businesses. Adding the updated $625 million to $650 million revenue expectation for the recreational vehicle segment results in the low end of the consolidated revenue guidance being raised $50 million from the prior outlook to a range of $2.4 billion to $2.45 billion. The updated consolidated midpoint reflects a 10% increase versus fiscal 2024's $2.2 billion in pro forma net sales. Full-year adjusted EBITDA guidance is also updated to a range of $220 million to $230 million from its previous range of $200 million to $220 million to reflect a solid performance and higher throughput delivered in the Specialty Vehicles segment in the third quarter. At the raised midpoint of $225 million, adjusted EBITDA is expected to increase 55% versus fiscal 2024's pro forma of $145.2 million. Net income guidance has been updated to a range of $95 million to $108 million versus the previous range of $88 million to $107 million. Adjusted net income is updated to be in the range of $107 million to $138 million from the previous range of $112 million to $130 million. Full-year capital expenditure guidance remains $45 million to $50 million, and interest expense remains expected to be $24 million to $26 million. And finally, full-year free cash flow has been raised to a range of $140 million to $150 million from a range of $100 million to $120 million, reflecting strong cash generation in the third quarter, increased CapEx spending, as well as an expected headwind from the timing of accounts payable activity that is expected to reverse within the fourth quarter of the fiscal year. I would now like to turn it back to the operator and open it up for questions. Thank you.
Operator: Thank you. At this time, we'll be conducting a question and answer session. You may press 2 if you would like to remove your question from the queue. Our first question comes from Mike Shlisky with D.A. Davidson. Please proceed with your question.
Mike Shlisky: Yes. Hi, good morning and thanks for taking my questions here. The fiscal third quarter there. Yeah. Hey. In the fiscal third quarter, you were basically at record EBITDA margins. I'm curious, were those in line with your expectations? And do you feel like the company is ahead of schedule to meet that 10% to 12% goals you got for 2027? You're essentially already there this quarter with almost no contribution from recreation yet. So since this case, are you headed towards the high end here by '27 or just your overall thoughts on the cadence here?
Mark Skonieczny: Yeah, Mike. This is Mark. I think we're still on the trajectory that we've laid out at our midterm or intermediate targets, however you want to categorize those. But we're very pleased with the progression, I think, in the last quarter. As I mentioned, you know, heading into Q3, we thought we were ahead of our pace, and we continue to deliver, you know, ahead of the pace from a throughput perspective. So we feel good about, you know, projections we put out there, but the cadence obviously is in line with our expectations.
Mike Shlisky: Great. And maybe a more near-term margin question. Looking at fiscal 2026, given what you just said about the fourth quarter incrementals, does it get off to a slow start in the first quarter since most of the first quarter was before any tariffs we just thought you had election day at that time? Was it will it get off to a somewhat slower start and then maybe get better a little later on in the year as things adjust over the prior year?
Amy Campbell: Yeah. I think the way to think about it, Mike, is, you know, we should we do expect to see really the full effect of tariffs in the fourth quarter. We talked about $5 million to $7 million for specialty vehicle non-chassis impact. And then we're not going to provide 2026 guidance, but the way I would think about the first quarter is our normal sequential, we would expect sales, you know, to go down 10% to 15% just given the number of working and shipping days in our fiscal first quarter. And then your typical 15% to 20% decrementals. I think another way to think about next year is for the first half of the year and probably somewhat into the third quarter, incrementals for specialty vehicles with those tariffs would be more in line with the 20% to 25% incrementals we're guiding to the fourth quarter, and then we would revert back, you know, to the 30% to 40% incrementals we've seen over the last couple of years.
Mike Shlisky: Great. And maybe one last one for me on the fire and hazards business. What you did book in the third quarter here just give us a sense as to the pricing and the margin expectations for I guess, what's now 2028 on those vehicles? Do you feel like you're still effectively pricing in the tariffs and inflation that are taking place today and your confidence on making sure those get realized by fiscal 2028?
Amy Campbell: So we are certainly looking at pricing and making sure that we're offsetting the cost of inflation. Doing that, we periodically do look at prices and offset cost inflation either through price increases or even through resourcing of components. We have not taken a price increase in response to tariffs. But as I said, we are continually looking at prices and taking targeted and focused price increases where it's appropriate.
Mike Shlisky: Thank you very much.
Operator: Our next question comes from Mig Dobre with Baird. Please proceed with your question.
Mig Dobre: Hey, good morning guys. Can you hear me okay?
Mark Skonieczny: Yeah.
Mig Dobre: Alright. Great. On this tariff discussion, appreciate all the color here. I you know, one of your much, much larger peers in machinery updated us last week. Talking about an incremental headwind from the 232 tariffs on steel and aluminum. I think that was primarily related to steel and aluminum content in various components that were coming in from abroad. I'm curious if this is impacting you as well. As far as I can tell from your comments, it doesn't seem like the expected drag from tariffs is materially different from last quarter. But I'm just looking to make sure that we have some clarity on that.
Mark Skonieczny: Yeah. I think that's right, and that's what Amy had just provided. That $5 million to $7 million that we're going to see in Q4 really will carry into next year. So the guidance we had provided previously, sort of $20 million number, I think we feel comfortable between some of the resourcing we've done and some of the onshoring that our supply base is doing as well. So, and, again, you know, we have only about $50 to $60 million of purchases from abroad. So it's really the component side as you're referring to, Mig, and we're working with our supply base, you know, on a daily hourly really to make sure that we're understanding our exposure there. But we feel comfortable in what we've provided in the past and continue to work efforts to minimize those impacts as we move forward.
Mig Dobre: Yeah. And just to put a finer point here, Mark, I mean, are you it doesn't sound from what Amy said that you've increased prices as a result of these tariffs. Do you sort of feel comfortable with your ability to manage these costs from a supplier or shifts in your purchasing? Is that really the solution here as we think into fiscal 2026? Or is the better way to think about all of this as hey, this is an incremental cost that is sort of permanent. It will just be now baked into my cost base. And, you know, from there on out into fiscal 2027 and beyond, we just build off that base rather than offset these costs.
Mark Skonieczny: Yeah. That's right. But no, we're always looking at the levers we can pull as far as doing pricing. But as we've talked about before, we have a lot of opportunity still in our four walls despite our productivity improvements that we've shown. We still have a lot of leverage that we can use around the commonization, other things we've talked about simplification. So we have opportunities to reduce our cost structure and become more productive and efficient to offset some of those. But, also, we do feel that it is necessary to go out and be price conscious as well. In the current environment we're in. So, you know, we will that is one of the levers we can use.
Mig Dobre: Okay. Then my follow-up, I want to talk a little bit about fire. If I heard your comment correctly, the facility in South Dakota increases capacity by 40%. Is that a comment for the fire business as a whole, or is it just a specific line like the S180 or something like that? And then in terms of this facility, how should we think about when it will become operational, when it will be, you know, reach its kind of, like, full production run rate?
Mark Skonieczny: Yeah. Without getting all the complexities, Mig, it's really a two-phase process. One is just the extension of the building and then building a greenfield building on that site. And, you know, from a timing perspective, it's really phased, but you can we can see some of that coming through at the back end of '20 but full materialization on the full facility will begin in '27 in earnest. So that's sort of the thought there. It is just for the South Dakota facility, but it does expand our capability on the custom vehicles that we currently make as well as the S180. So you think about it, it's really two things. One, it gives us the ability to build more custom units that we're used to, but to expand the S180 offerings across our multiple brands that we offer that product through. Which we highlighted is a less than a one-year delivery. So it gives our customers the ability to flex into something they can get within less than one year from order date to delivery.
Mig Dobre: Last question for me. Sticking with fire here. I understand that your delivery timelines are coming down by two months. I guess that's great news. But maybe the biggest question I'm hearing from investors relates really to the sustainability of demand here. Things have been pretty good thus far. So I'm curious as lead times are coming down, how do you think about kind of the push-pull here in terms of lower lead times maybe being stimulative for demand at the same time recognizing that we've had a lot of order intake for you and your peers over the past three years? So what's your best guess on a path going forward, especially since you are increasing capacity? Thank you.
Mark Skonieczny: Yeah. I think we laid that out in December when we gave our midterm targets, right. And we expect a normalization of that backlog. Again, we're still over we're in the two-year range of backlog duration. Here. So we still have work to do to get back to the normalized of, you know, the high end being eleven to thirteen months on the most complex unit. So we'll continue to do that. We do believe that this normalization and all the work that we're putting in right now, will be the leader in delivery time and lead time, which will be the key as we get to normalization as we highlighted in '20 you know, by the end of twenty-seventh and the backlogs we'll have there. So our goal has always been to build the best quality products in the shortest lead time. To make sure that we're providing to the market what they need. So and that's still our goal. Despite what the market does, again, we're operating in, like you said, heightened levels of lead times here. But as they come down, we'll be ready to execute against those with the best lead time available in the industry.
Mig Dobre: Best of luck, guys.
Mark Skonieczny: Thanks, Mig.
Operator: Our next question comes from Angel Castillo with Morgan Stanley. Please proceed with your question.
Angel Castillo: Hi, good morning and congrats again on another strong quarter here. I just wanted to ask a little bit more on the pricing and the outlook here for the backlog. I just wanted to make sure I understood this. Well. I thought I heard you say that specialty vehicle backlog was down in terms of units about 4% sequentially. And I believe, I guess, the backlog, given that it contracted a little bit, on a sequential basis, Can you just help me understand what does that mean for what you're kind of pricing new orders at for, you know, up for 2028. I guess I would have just expected that that 4% to decline in units to be more than offset by several years of kind of higher price increases. So from a sequential basis of what you're taking in new orders, are you seeing any price declines on those kind of new orders? Or is that just reflective of maybe order intake? Just if you could kind of help us that a little bit more and why we're not necessarily seeing that that unit decline in the backlog offset by user price.
Amy Campbell: Yeah. I think I want to clarify, Angel. Thanks for that question. So when we talked about the 4% decline, that's the number of months to deliver the backlog. It wasn't in reference to the units in the backlog that came down. We look at the backlog in terms of dollars, and it's been pretty flat. Book to bill was one. It did come down for specialty vehicles, you know, I guess, very slightly. It was down $7 million. Quarter over quarter on a $4.3 billion backlog. So I would call that pretty flat. As we think about that backlog going forward, and what's in the backlog. Right? We are still, you know, working through the backlog with about $1.8 billion in sales for specialty vehicle this year. And a $4.3 billion backlog, we remain over two years of sales in the backlog, and pricing will convert as we ship through that backlog. So I think we feel very comfortable with that. We feel very comfortable that we're still well in line to deliver, you know, the intermediate targets that we presented last year. You know? And we have long said we expect the backlog to come down. We've seen orders trend. They're still above long-term levels, but they have come down from their peaks a couple of years ago. In order to get the backlog to come down and get to more normal levels, which, you know, would be, you know, six to nine months for ambulance or maybe three to six months even for ambulance, nine to fifteen months for fire, you know, we need shipments to be above orders. And so given that we believe, you know, the order to shipment time frame the company that can keep that the shortest is a real competitive advantage. We continue to increase throughput, increase production, work through that backlog so we can pull that backlog down. It's not really a function of orders, but more our success in driving throughput up. You know, fire units were up 11% in the month. Ambulance units were up 7% or in the month and the quarter. Excuse me. Ambulance units were up 7% quarter over quarter. So that really is more a function. It's our success in being ahead of where we expected to be on throughput more so than orders, which tend to which have been fairly consistent and still slightly above long-term levels.
Angel Castillo: That's very helpful. Thank you for the clarification. And maybe just on that line, more broadly, you know, in terms of the industry, I think one of your biggest competitors also talked about driving some kind of efficiency in their production rate. As you think about, you know, that normalization of order intakes out to 2028, how are you seeing the level of kind of price competition in the market for those orders? You know, you're seeing competitors potentially also look to improve some of their capacity and throughput and efficiency?
Mark Skonieczny: We're currently not seeing that. We don't normally comment on that. We just know we're competitive from a price perspective as well as a lead time perspective as we go out bid contracts. So that's all I would say there. But, again, with two and a half two two-year backlogs here, we continue to just push on the throughput and efficiency improvements in order to continue to bring that down and have industry-leading lead times. So the winner at the end of this is going to be the ones who deliver in the quickest lead time with the best quality product. So that's really our goal every day. That we come to work.
Angel Castillo: Okay. Well, maybe just if I could, just one last quick one. You talked about the increase in capacity from Spartan. Guess your throughput initiatives beyond the fourth quarter and in fiscal year 2026, how much more should we expect in terms of potential improvement in either 2026 or 2027 based on what you're implementing?
Mark Skonieczny: I think we'll provide that more in December as we give our 2026 guidance. We want to see another quarter of throughput improvements. We'll build in obviously the expansion of Brandon, but also we have other, as I quoted in my prepared remarks, are doing efficiency or expansion projects across the portfolio. So we'll be highlighting more of those as we go along here, Angel, and then, you know, we can provide what the related throughput improvements. But we continue to see improvement. And, again, our goal every day is to make sure that we're improving sequentially and year on year, but more importantly, sequentially as we move through the process here.
Angel Castillo: Very helpful. Thank you.
Mark Skonieczny: Okay. Thanks, Angel.
Operator: We have an additional question coming from Mig Dobre with Baird. Please proceed with your question.
Mig Dobre: Yes. Thank you, guys, for taking it. I just couldn't help myself. The free cash flow has just been, in my view, pretty remarkable. I mean, you've done almost $2.75 year to date. You might do $3 or maybe even more for the full year. And your net debt is close to nothing. And, you know, I'm curious here as the business continues to build, we're here about how you think about fiscal 2026. I guess, in a few months, but presumably, cash generation continues here. How do you think about capital deployment at this point? Because you paused your share buybacks and, you know, I get I guess, to some extent, I understand that. But what are you seeing in terms of other opportunities for you to deploy this cash that you're generating?
Mark Skonieczny: Yeah. I and I think, Amy laid it out. As well. I think we do have the financial flexibility on what we can do, Mig, to your point. Of course, we're going to invest in our business first to make sure that we have the capacity available and drive the efficiency programs. But with our debt levels, you know, we still have to look opportunistically at M&A as well. And, so again, those are the levers we have. But, you know, internal investment into our productivity improvements are really the key that we're driving right now. But, we do have to be opportunistic when it comes to M&A when we look at what's available on the market. So we will look at opportunities as they come up. But, again, we'll be disciplined in that approach as we previously discussed. We're not going to go out and buy companies just to buy companies. We want to look at accretive acquisitions that'll build off the quality process that we've inherently built over the last three years within our existing portfolio.
Mig Dobre: No. For sure. Understood. But are you seeing those kinds of opportunities out there? Are they available, or are we in an environment in which maybe that's not something that investors should be expecting in terms of you completing deals soon. That's it for me. Thank you.
Mark Skonieczny: I think in the short term, again, we have to be opportunistic. As you know, there's limited in the space that we participate in. So as those opportunities come up, we have to be looking at those and make sure that we're disciplined as we look at those. So I think that's really all I'll say on that, that, as they do come up, we have to make sure that we're participating in a process as they come available.
Mig Dobre: Alright. Thank you.
Operator: We have reached the end of the question and answer session. And this concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.